Rutger Relker: Good morning, ladies and gentlemen. Thank you for joining us today. It is my pleasure to welcome you to Aalberts full year presentation for the year 2024, live in our headquarters in Utrecht. My name is Rutger Relker, Director, Investor Relations. This past year, we delivered again, a resilient performance, despite challenging end markets. We look forward to share with you today our progress made. Stephane will kick off the presentation with key highlights and an update on our operational developments. This will be followed by Arno, who will share our financial development, highlighting how our strategy has translated into a solid financial performance. Stephane will then give you an update on the strategic actions as shared last December during our Capital Markets Day. After the presentation, we will give you the opportunity to engage directly with us in the Q&A session. Your questions and feedback are very important to us, and we encourage you to participate. Later today, we will make both the presentation and the recording of this webcast available on the website. Please welcome Stephane Simonetta to begin our presentation.
Stephane Simonetta: Good morning, everyone. Let's start this webcast and show you first the key highlight of the year. 2024 has been a challenging year, but we are delivering a solid and resilient performance. First of all, we are reporting more than EUR 3.1 billion revenue. And due to all the macro headwinds and market headwinds, and also some uncertainty in the geopolitical situation, we are reporting a 3.4% organic decline. Thanks to the great work from all our team, we managed to improve our added value and are delivering a solid EBITA margin of 15% before exceptionals. We are continuing our journey, taking action to manage the short and the long-term, but also continuing to invest our CapEx to drive our business development plan, to drive growth and in 2024, we are reporting a CapEx of EUR 231 million and we are delivering another strong free cash flow of EUR 334 million. Our portfolio optimization, our investment in leadership position, as per our strategy to double our revenue in the U.S. is well on track. And I'm very pleased to report that, we announced 2 acquisitions in the U.S. for our industry segment, with the acquisition of SGP and the agreement reach with Paulo. We also did, as you know, one divestment for our building segment. We are delivering an EPS of EUR 3.12, and are sustaining a high dividend at EUR 1.13, same as last year. And as we inform all of you, in the last Capital Markets Day, we are starting a share buyback program of EUR 75 million. And obviously, we continue to take action on what we can do. And in 2024, we took some major accelerating operational excellence program in order to prepare for the future, in order to sustain a high margin and continue to improve our EBITA, basically addressing the short-term challenges. So overall, a solid year, despite challenging end market. And today is the first time we are now reporting and disclosing the performance with our 3 segments in building, in industry, and in semicon. The number you see on this slide is what we will be reporting and disclosing every quarter as per our new reporting frequency. And you will see that, there are different dynamics on this end market, in terms of top line and in terms of profitability, but I will start to give you an update on the operational development by segment. And then later, Arno will give you an update on the financial side, also by segment. So let's start with building. So with our building segment, it has been a mixed picture, but the good news is that Q4 has been the best quarter of the year. We are back to organic growth, with 2% organic growth in the last quarter. Also the full year is ending at minus 3%, and they are quite a mixed dynamics with our product line, with our end market, because we continue to grow in the U.S. We continue to grow in a APAC in Middle East and also U.K., good opportunity. And some of our product line are also winning share, thanks to the innovation, thanks to the business development, thanks to the investment we did in the future. And as you can see, our boiler room technology, our heat treatment solution, our valve also in the U.S. are doing quite well, and our groove technology grew in 2024. Obviously, when we report a total negative organic growth, if some are doing well, some are doing not so well. Even we believe many of our product lines, which are declining are actually doing a bit better than the market, but strong headwinds with the French and German markets, especially in the new construction in the new build, which has impacted mostly our connection system portfolio. As a consequence, our performance by segment has been challenging. Clearly, building is a segment where we have the biggest opportunity to improve our profitability, as we are only at 12.9%. But this is where also despite the market headwinds, we never compromise pricing. And also in building, we have improved added value. U.S. has been a major improvement. These are all the actions that we took to improve supply chain, delivery performance. This has paid off, and that's what we will continue to do. The innovation is also what allows us to have superior pricing power, and to deliver stronger financials. And that's exactly why we want to do also better innovation also in our connection system in order to do much better than the market. We continue to optimize our footprint in the building segment. We have announced a few factory closure, and we will continue to do that. But of course, most of the restructuring action, most of the operational excellence program we took have been especially in our building segment, to ensure we improve profitability in 2025. So first sign of recovery in Q4, and a lot of opportunity to improve our profitability, but also reduce inventories, and that's where we still have some work to do to better improve our days on hand, what we call our DIO. And this is, of course, in building where we have the biggest opportunity. In Industry, quite a different dynamics because the whole year has been quite negative. In Q4, we also saw the slowdown, especially in automotive, in machine build, in agriculture and French and German industrials -- have been really down. The good news is that, we continue to see very good growth on aerospace, on power generation, which is exactly aligned with our strategy to have within our Industry segment, more end market diversification and have a bit less exposure to automotive. But here, the good news is the performance. Our team has done a fantastic job to sustain high EBITA margin despite this organic growth decline, and this gives a lot of confidence for the future, because we will continue to optimize, to take action and to keep the strong EBITA performance in our industry segment. Continuing to invest business development, continuing to drive footprint optimization and continuing to add capacity locally always in the region for the region. As you know, this is most of it a service business and the customer proximity is what makes us win. And finally, on semicon, we are still growing as expected with mid-single digit. So aligned with our expectation, reporting full year 4.7% organic growth. But Q4, we saw major inventory adjustment from our customers. And as you see, Q4 has been minus 10%, especially with our frame and modules manufacturing that we are delivering to our customers. And so growth on some mechatronic technologies, growth in machine conditioning. We see also -- this is just the beginning, the potential of refurbishment, the repair and reuse with the new site we opened here in the Netherlands, but the frame and module has been the major challenge that has put the organic growth down for the full year. The profitability has been quite stable. We sustained more than 14% on semicon. Our capacity expansion are well on track. Actually, many of the footprint initiative should finish this year. We continue to invest in technology, because we want to be clearly a technology partner. We want to offer more system, more module to our customers. And we are trying to find the right balance, right, not compromising the short-term performance, but also sustaining capability, R&D power for the long-term. But we also are aware that we still have some operational excellence within our semicon to do better on quality, better on inventory and also potentially better on cost. So the outlook remains strong, and we will have to manage the short-term challenges in 2025. I'm very pleased also to report that in 2024, we continue to have more than 70% of our revenue linked to our sustainable development goals. We are closing the year with 71%, and on our Scope 1 and Scope 2 CO2 emission, we have been able to reduce by 12% as the emission compared to last year. So making good progress aligned with our sustainable commitment. And the last point I want to say, in 2024, we have welcomed some new colleagues in the executive team, but we continue to have our operating model with myself and Arno being the Management Board, having now 5 CEOs, which are running our businesses, which are fully accountable for their performance, for their strategy, for their customer centricity, and of course, their growth agenda. And they are all now supported by 6 group function leaders, which will be there to act as strategic business partner, but also to drive functional excellence to drive synergies across our 3 segments. That's the new executive team that is going to deploy our new strategy and starting the third evolution phase of the company. That's what I wanted to share as a key highlight, but now let's go to the financial development. And I would like to welcome Arno to give you a financial update, and I will be back later on to talk about strategy in action. Arno?
Arno Monincx: Thank you, Stephane. Thank you.
Stephane Simonetta: Thank you.
Arno Monincx: And also, of course, good morning, everybody in the webcast also from my side. Let me take you through the financial development of our business. Starting with Aalberts as a total, the revenue decreased organically with 3.4%. And as you all know, in October, year-to-date October, it was still 2.9%. So we really faced a slowdown in the last quarter, where the building business organically declined with 3% full year, industry 7.5% full year and semicon still grew 4.7% full year. EBITA margin, we could sustain at 15%, first of all, by a very strong added value performance again. We could even improve our added value with 1% versus last year. And that resulted in an EBITA of EUR 471 million, and a net profit before amortization of EUR 345 million. And these numbers are before exceptionals. I will come back later to that. Capital expenditure, we continue to invest in innovation, in expansion, in footprint, and our CapEx also increased towards EUR 231 million versus EUR 224 million last year. But again, we stayed within the benchmark of EUR 200 million to EUR 250 million as we have guided. Free cash flow, also free cash flow, a solid performance, EUR 334 million in 2024 versus a very strong EUR 423 million last year for reasons that we decreased our inventories in that year much stronger coming from a very high level in 2022. Nevertheless, our EBITDA reduced with EUR 42 million. Our net working capital move also decreased with EUR 36 million, and our increased CapEx cash out of EUR 22 million are the biggest movement factors elements in this free cash flow bridge. And again, we deliver 15% EBITA margin in challenging markets. The revenue bridge, we added EUR 3.7 million from our acquisition that we made in the last quarter last year, SGP. Then our divestments of '23, DISPTEK and '24 EPC, we lost EUR 75.2 million, because of these disposals. Then the currency translation impact amounted to EUR 8.1 million positive this year, mainly Polish zloty. And then last but not least, the organic decline of EUR 112 million is the 3.4% that we already gave to you, and that is totalized to the EUR 3.1 billion revenue in 2024. EBITA bridge coming from the 15.7% last year to the 15.0% this year or, let's say, 2024. We added from our acquisition in the fourth quarter, EUR 400,000 of EBITA. We lost, because of our disposals in '23 and '24, EUR 7 million of EBITA. The currency translation impact had EUR 800,000 positive impact in EBITA in 2024. And last, but not least, organically, we lost EUR 44.1 million of EBITA, and that is then summing up to the EUR 471.1 million for 2024, 15.0%. The EPS bridge coming from the EUR 3.38 million last year, Divestments lost EUR 0.06. Organically, the impact was EUR 0.37. And then you see that finance costs, yes, we could reduce finance costs with EUR 8.6 million last year, and that gave EUR 0.08 benefit in this EPS bridge. Also, tax rate was lower than the year 2023, also bringing EUR 0.05. And then last, but not least, the currency impact, EUR 0.04. Totalized to the EUR 3.12 for 2024. Then the revenue split for Aalberts in total still per end market. And you can see that, building end market in the 3 segments that we have now -- that we are now reporting, building industry, semicon, building is still the biggest with 51%, industry is 33% and semicon is 60%. And when we look at it per region, we see Europe with 72%, the biggest area, then America with 22% and APAC, Middle East, Africa with 6%. And now we give it per segment, the 3 segment report -- the new segment reporting, building, industry, semicon, we also give you the revenue split of these 3 segments. And there, we see Europe in building with 69%, America with 27%, APAC, Middle East, Africa, 4%. Then industry, it's also Europe approximately the same, 68%; America, 23%, a little bit smaller still; and APAC, Middle East, Africa, 9% -- and then last, but not least, semicon, where we do 88% still in Europe, America, 6%; and APAC, Middle East, Africa, 6% also. And that brings me to the segment reporting, where we see the revenue decline in building full year to EUR 1.603 billion, organically already explained 3%. But there, we see a better trend. After 3 quarters of organic decline, we saw the fourth quarter 2024 with a growth of 2%. So it looks like the trend has been broken. EBITA margin 12.9% versus 30.9% last year. So clearly, because of the organic decline, we also lost 1% of margin and still CapEx increased towards EUR 80 million of, of course, long-term projects that we were -- that we are still executing and which are now about to go down. So that means that for the next year, we will expect lower CapEx in building. Corrective actions are in place, of course, to improve the performance also going forward in our building segment. Industry, in industry, we saw a decline towards the EUR 1.061 billion in 2024, organically 7.5% minus. And when you compare that to 2023, it was still 8.9% plus, huge difference. And also in industry, it was actually the picture of the whole year. So every quarter was negative. And nevertheless, due to many improvements we made in the past already in our structural cost improvements, but also with all kinds of innovations, of course, good acquisition that we made, we could sustain our EBITA margin to 18.6% versus 18.9% in 2023. We believe that's a very solid performance of the team made. CapEx, a little bit lower, about EUR 100 million in 2024, but it's clear that, there is a very strong EBITA performance made by the team in industry despite organic decline. Then semicon, semicon, we still grew 4.7% organically full year. But there, the trend was after 3 quarters of growth, the fourth quarter was a decline. Nevertheless, 4.7% full year and EBITA margin slightly lower 14.2%. It is clear that the slowdown in the last quarter impacted also our EBITA margin. CapEx still ongoing, grew towards EUR 50.7 million in 2024 with a lot of big projects ongoing. So the EBITA margin was clearly challenged by a lower growth in the last quarter, actually a decline in the last quarter. Then the exceptional costs. The numbers I just presented are all our operational results, and these are exceptional costs that we did not take into these operational results. And actually, these are 3 elements. The first one you already know, we communicated in November, we have accelerated our operational excellence program. We took EUR 54.5 million as a one-off cost, and this program gives an annual benefit of approximately EUR 30 million, of which EUR 10 million has already been realized in 2024. The decision to leave Russia took a cost of EUR 37 million in our books. And then the outcome of an arbitral award, EUR 28.7 million relating to an M&A, and that is clearly was unexpected from our side. That is also the reason that we filed for an annulment for this award. Shareholder return over the last 10 years, like also Stephane already said, EUR 1.13 per share is our dividend proposal, which is stable versus last year. And that's also because we are confident being on the right track going forward. And for the first time in history, we also give and announced a share buyback program of EUR 75 million, starting from tomorrow with an end date of the 24th of October 2025. And this share buyback program will also contribute to the EPS going forward, because we will repurchase and also cancel these shares. It's an improved shareholder return in challenging market circumstances. The track record of Aalberts over the last 50 years, with especially year this year with our 50 years anniversary, which you can also see there that we are still profitable, growing, sustainable over the last 50 years, and it's a proven sustainable business model. And then, the shareholder value creation, where we present here to you the return on incremental capital employed of 90% over the last 10 years. We believe this is a very good KPI to see the return for the long-term of your capital allocation where everything is in, of course. And over the last 10 years, we did 90%. Earnings per share, over the last 10 years a CAGR of more than 8%. And in the dividend per share, we have realized a CAGR of more than 9% over the last 10 years. And then on top of that, also, we have now a share buyback program of EUR 75 million, which will start, as I said, from tomorrow. We are committed to create long-term shareholder value, and that is also what you can see in this overview. And then I would like to hand over again to Stephane.
Stephane Simonetta: Thank you, Arno. Here you are. Very good. So time to show you also and explain you where we are in our strategy in action. As you know, in December, we released our new strategy, thrive 2030 to refocus Aalberts, rebalance our portfolio and recharge our 3 segments. Let me give you a short update. But first of all, to repeat the message, we have passed in December because we are now in execution mode. So still committed to reach our '26 target with a new also now also long-term horizon, and I'll show you later today, how we plan to reach some of the '26 objectives. When you look at the long-term, we are still well positioned for growth with 4 global tailwinds, which made our 3 segments very well positioned. And to continue to keep our leadership position in attractive end markets, we will continue to drive organic growth. I will show you some of the initiatives. But of course, we will also use M&A as an accelerator to strengthen our position. Today, we are going live with our new reporting segment. And of course, the Aalberts way will continue to be our winning formula. We are there starting the third evolution phase of the company, and our goal is still to unleash the full potential of the company. And as you know, our thrive 2030 is enabled by 4 strategic actions. And I'll go through each of the actions in a few moments. First of all, it's about having profitable growth with organic growth initiative, with innovation, with our business development, and also our ambition to double our revenue in the U.S. Second, our portfolio optimization in order to have leadership position, with our 3 priorities on acquisition and our divestment program. Third, the Aalberts way, continuing to invest in future-proof workforce, continue to invest in customer-centric supply chain and continue to drive functional excellence across our 3 segments. And the last one with our sustainable commitment in order to continue to make progress on all our environmental targets, but also health and safety and well-being for our employees. So let's start the first one, because despite all the challenges we have seen in building with the end market headwinds, we are focusing on what we can do. And what we can do is continue to push to innovate and to drive organic growth initiatives. And then you can see on the slide, it's about going beyond component, just not doing building components, but doing building technology, doing services, doing system and the skid system we are doing either for the data center, but also for supermarkets or also for some of the residential building, it looks very promising. You saw one example during our last CMD. This is where we are going to invest, and this is where we see growth opportunity in Europe, but also in the U.S., and we are making some specific initiatives focusing on data center solution, especially cooling solutions. Connectivity, I think in building, this is where we have the biggest growth, and this is where also we are working to offer more connected solution in order to have digital and have recurring revenue. And then the answer to the challenge we see on the market on connection system is innovation. And in connection system, we have a strong footprint. We have strong technology. We have strong brand, and this is where on our connection system, either with the cool press or with the smart press, we are going to launch and we are launching some great products, which will enable us to outperform the market and win back also some higher profitability. So a lot of exciting new products and new system and new solution in our building segment. For industry, the first one is really aerospace and power gen. We did our last Capital Markets Day in Eindhoven, and I can just tell you that, it continued to be very promising, more and more demand from our customers. We are adding capacity because we just see more demand in Europe and in the U.S. with our HIP vessel. This proved to be a very success formula, continuing to support our customers in their footprint expansion with the one we are doing in Hungary, and we have some also in North America to support our customer locally. Again, it's a customer proximity service businesses. Some very good niche innovation we are doing for the automotive with our hydrogen valve, fantastic innovation. And it's all about in industry, supporting our customers in their sustainability journey. And then one example, we just confirm our strategy is right to do acquisition in the U.S. the last acquisition we did in the U.S., it's proved to be right, and we see a fantastic organic growth opportunity with our thermal spray to support the U.S. customers. So that's what we will continue to do. And then in semicon, also different type of innovation because it's about systems, it's about integration, it's about module, and it's about reducing the supply chain complexity for our customers, so that we are also earlier involved in the development of the new generation either some of the lithography machine, but also some of the mechatronic technology. And the good news here is all the technologies we have, all the system, all the modules that we have for the semicon can also be applied to other end markets and verticals. Still a very small niche today, with our defense, but this could open a lot of new door in the future. That's something we are looking very closely also in our current strategy horizon. So technology acceleration, system integration for the long term, and we are well on track with our new state-of-the-art greenfield factory that we will be opening in the coming years to support the long-term growth from our customers. And on top of organic growth, I think innovation, that's really what will keep our differentiation, right? And just a few examples, you can see that on building, an example about connectivity to have digital offering with some heat water treatment solutions. Example with some of the integrated module we are doing in semicon to help our customers an example about solution or services we do in industry to help our customers in their decarbonization journey here being an example of a PFAS-free solution. The second action of our strategy is our portfolio optimization. As you know, in building, we have divested one company. In industry, we have announced 2 acquisitions in the U.S. and then we are still working very well on our funnel to add some strategic acquisition in order to strengthening our position, but always aligned with our 3 priorities in building being in the boiler room equipment and U.S. In semicon, with our portfolio expansion in Southeast Asia, and in industry, to have a more end market diversification and also to expand our presence in the U.S. So ability to win end market attractiveness in order to ensure a leadership position. The Aalberts way, again, that has to be our winning formula, our recipe, what makes us a unique company with our 3 segments. So having each segment, having each business team on one hand, fully accountable with a local proximity with a quick and speed decision-making. So we continue to win locally and end-to-end accountability. But at the same time, it's also having the global scale advantage, the functional excellence, and that's what we need to bring with our group function being the One Aalberts Company. On sustainability, no change, we are still deploying our net zero carbon roadmap. We have set ambitious goal for 2030 and '25 will be also the year where we will continue to make progress on SDG rate, on our CO2 emission, on Scope 1 and Scope 2, but also on Scope 3, especially on raw material and waste where we have the biggest contribution. And then talking about 2026, we wanted to share what is our road map, especially on EBITA. You could say challenge organic growth, fair challenge. But what we can do is to deliver and improve our margin. What we can do is also improve our working capital, and that is what we are focusing on. And you see here high level, how we will improve from 15% to 16% our EBITA ratio at Aalberts level. The first action is already in progress. Arno just mentioned to you, the EUR 50 million accelerated operational excellence program, especially for our building and industry segment. Then, of course, it's about organic growth. I just show you, some initiatives and this organic growth will generate higher EBITA. Then, we still have a lot to do, and this is where all our operational excellence, all the initiatives we are launching with continuous improvement, with inventory optimization, with the cost-out initiative is an improvement in building, because we kind of stay 12.9% EBITA. So we have, of course, higher ambition to improve our building segment. Purchasing also big opportunity, that's one of the group initiative to drive also functional excellence and have more synergy, and use the purchasing power of Aalberts altogether instead of having each company buying their own stuff. And then the last one, this is where, of course, we will always do the right things, right, because some of the portfolio, we need to turn them around internally. And some where we believe we are not the best owner; they will be on the list of the divestment. So that's in a nutshell, how we plan to move from 15% to more than 16% within the next 2 years, and you will see the progress in the coming quarter as we will be reporting every quarter our performance. So that's what I wanted to share to close 2024. You have seen the operational update. You have seen the financial update from Arno. Now, let's talk about the outlook for 2025. And the outlook is a mixed outlook, as you see on the next slide. First of all in building, in building, we see moderate organic growth. We see continued growth in the U.S., but we see also France and Germany still being very low. So a mixed picture with some positive, some challenging, but overall, we should see a growth as we saw in Q4. In industry, different picture, a bit similar with what we saw also last year, continued headwinds on automotive, on agriculture, on machine build and still low industrial activity in Germany and France, but also still very good growth on power generation, on aerospace and also on defense. And in semicon, we see also the destocking that will continue. We will continue on our end to continue to innovate, and we also expect some growth on the refurbishment. So when you take these 3 segments, some positive, some negative, Q1, we clearly see the same low activity in industry and semicon. We see positive growth in building, but as a totality at Aalberts, we are seeing for the first quarter of the year, a mid-digit organic growth revenue decline. For the full year, we see organic revenue flat, but with EBITA improvement, thanks to all the action we took because this is where we are focusing, where we can make an impact on the cost, on the optimization, on the free cash flow, on the inventory. And then we continue to deploy our organic growth initiative, but some of the headwinds we saw last year, we still see them coming in the rest of the year. So our CapEx will be quite stable. Actually, many of the greenfield projects, many of the new factory are going to finish this year. So it should be quite a stable year in terms of capital expenditure. And we will continue. We are not going to stop with what we have announced last year, always improving our cost out and our inventory optimization. So as a '25 outlook, we are seeing an organic revenue flat, but an improved EBITA margin. But this year is also a special year. 2025, Aalberts is going to celebrate its 50th anniversary. 50 years ago, in 1975, our founder, Jan Aalberts, started the company. And this is what we are going to celebrate with our employees, with many stakeholders around the summer period, 1975, 2025, 50 years of engineering mission-critical technology. And we will continue the great journey that brought us here, and we will continue to innovate in order to enable a clean, smart and responsible future. Thank you very much. So time to do the wrap-up. Before the Q&A, as a summary, strong resilience, strong performance despite challenging end markets. We took action to address the short-term challenges. We will continue to optimize our portfolio with acquisition, and we will continue to drive organic growth initiative. As a consequence with all our actions, we should do a better performance from a bottom line next year, and we are starting the full deployment of our Thrive 2000 strategy. In a nutshell, committed to return short, but also long-term value creation for all our stakeholders. Thank you.
A - Rutger Relker: [Operator Instructions] I would now like to give the word to Martijn den Drijver from ABN AMRO for the first questions. I think, he's now out. So I'd like to give the word then to David Kerstens from Jefferies. Hello, David.
Operator: Question comes from David Kerstens from Jefferies.
Rutger Relker: No, I think David connection. So then I would like to give the word to Chase Coughlan from Van Lanschot Kempen.
Operator: The next question comes from Chase Coughlan from Van Lanschot Kempen.
Rutger Relker: Hello, Chase. Apparently, there's some technical issue.
Stephane Simonetta: Maybe start to read some of the questions we got, while waiting for people to connect.
Rutger Relker: That's a good idea. That's a good idea. Well, we have already some questions coming in. And the first question I'd like to address is about U.S. tariffs. How will you be affected by these tariffs, both directly and indirectly?
Stephane Simonetta: I think it's maybe a bit too soon to know, but -- if you talk about the U.S. tariff, we don't see them based on what we know today, being a major impact for Aalberts. Actually, it could be even more an opportunity, but I look forward to learn more and to see really what will be implemented because today, between what is said in the news and the reality, it's a bit challenging to know, but we don't expect major impact because we are already quite localized in the U.S. Our strategy has been always to be in the U.S. for the U.S. As you know, in our service business, we do everything in the U.S. In our building, we are factory in the U.S. And in semicon, we are not too much in the U.S. So no major impact for Aalberts at the moment.
Rutger Relker: Then we have some other questions. It's about semicon business. The question is that given that the big semicon equipment manufacturers expect some growth in '25 compared to '24, would you then still expect some growth for the semicon business for the full year despite a weak Q1?
Stephane Simonetta: I think it's a bit too soon to say, right? We have very strong collaboration with our customer, first of all. I think we are there to support them in good time, and when there is more challenging time. So I'm very pleased with the collaboration. Our customer has been very open with us, giving us the warning, giving us the visibility. So now, it's finding the right balance with them. We expect still a challenging first half, and we expect some recovery in the second half, but whether it's second half or it's a bit later, we are there for the long-term. We all know in this segment, it's not about the short term, right? So I think to be too soon to say, but definitely, first half, we still expect some continued destocking.
Rutger Relker: Thank you. Let's see whether the line is working again. And if not, then there are still some more questions popping in. Yes. There's a question about destocking. Can you perhaps quantify, what kind of reductions of inventories we could expect during '25 or '26? Perhaps that's a good question for you, Arno, about the further reduction of inventories.
Arno Monincx: Yes. But we also have written in our annual or let's say, in our press release is that we have an inventory reduction program also to further optimize that in the coming 2 years. And our objective is to reach the 85 days in 2026. So that's a clear objective also for us internally for all the teams to reach that. And it's also quite clear that, the most -- the biggest part of the improvement should come from the Building segment because there, we are too high, and there we need to improve.
Rutger Relker: And for '25, do you expect some improvement already?
Arno Monincx: I expect improvement, yes. But as you can imagine from the 94 days, which was clearly a little bit disappointing, where the slowdown of the fourth quarter did not help in the DIO, of course, but also there, we were a little bit disappointed about the progress that we made -- in some areas we made, but also, like I said, in the Building segment, we need to do better, and that is also where we will focus on, and we are already focusing on, of course, at this moment. So it will, for sure, go down.
Stephane Simonetta: Like Arno said, the inventory situation is not satisfactory. And that's why we are implementing all the operational excellence, the supply chain excellence, implementing all the tools in order to sustain high service level, but with a better mix through our value chain, managing raw materials, work in progress, finished goods. So we have started a few pilots in '24, which have delivered great results. We need now to roll out in the full company, especially in our Building segment.
Rutger Relker: Thank you. I get a message that, it should work again with the live questions. So, let's give it another try –
Stephane Simonetta: First click –
Rutger Relker: And let's give the word to David Kerstens.
David Kerstens: I'm not sure, if you already asked my question because I also submitted via the webcast, but I had a couple. The first one was on how much visibility do you have on the expected organic growth recovery after the first quarter? And what are the key drivers? Do you expect Industry to recover? And how much destocking do you anticipate in semicon and how long will it take? I suspect you already answered that.
Stephane Simonetta: Yes.
David Kerstens: The second question is, how do you feel about your M&A strategy to expand in the Americas in the light of the changing political environment with increasing protectionism? Does that impact the synergy realization of any M&A in the U.S.? And then I had one on the arbitral award. What is it exactly about? It seems a relatively large amount after a period with relatively limited M&A. And then maybe finally, just a housekeeping question. The M&A spent in the cash flow statement was only EUR 19 million. Just to confirm that it doesn't include the acquisition of Paulo yet. So it's only the acquisition of SGP. Those were the questions I had written down.
Stephane Simonetta: So, let me take the first one and then Arno the last 2. So you're right that we are watching very closely the -- like you said, the dynamic in the U.S., but we just see a confirmation that our strategy is right, right, to have more acquisition in the U.S. and to localize more because the growth is still higher, especially for our Building and Industry segment. Going forward, let's see. But of course, in a few years, we may have the question also about the Semicon footprint in the U.S. based on the long-term macroeconomic trend. So this could be an additional opportunity for us. It's not part of our strategy today. But for the long term, that's something we are looking at very carefully.
Arno Monincx: Yes. Let's say then the arbitral award, as I already said in my presentation, that was also for us a surprise, and we clearly disagree with that award. So that is also the reason that we filed for an annulment. I already mentioned, it is M&A related, but because it's arbitration, we cannot say more about that. And still, as you say, the case is still ongoing. So that's the reason. But at the end, we thought, it would be best to take this provision in our books. So that's what we did. And then the last one question you already answered yourself. I think the SGP is indeed the only acquisition we closed last year in the fourth quarter. So, Paulo is still not closed, and we expect that to happen in the second quarter of this year.
Rutger Relker: Thank you, David. Then I'd like to give the word to Alexander Virgo from Bank of America. No, I think he's not responding. So Martijn den Drijver from ABN AMRO is also in the queue.
Martijn den Drijver: I'm terribly sorry for the other listeners, but I missed all of it. There was a technical problem, I guess. I'm going to ask my questions again. I'm terribly sorry for that. But coming back to building, according to my calculations, you had roughly 5% volume growth in November, December. You gave the number for Q4 as a whole, and you're basically guiding for that 2% in 2025. So my question is, was that very strong performance in the latter part of 2024 only restocking? Or is that low single-digit guidance, which you've basically given just on the conservative side, given that, yes, Germany and France are not doing great, but they're not going to deteriorate either, whereas the other European markets are actually recovering. So that would be question one.
Stephane Simonetta: Okay. Thank you. You are right, but we don't see yet, let's say, like that restocking. So the organic growth is really driven by modest recovery in terms of demand, but we have also a good geographical split as Q4 has been much better also in the U.S. compared to Europe. So that's, I think, what explains where we still have many growth opportunity in the U.S. We have improved our delivery performance. And in Europe, we have been very strong in some of the niche and innovation, and that we will continue to see. What will make, like you mentioned, us to be even better is what will happen on the new construction in the French and the Germany market, and that is difficult to see at the moment. So we still believe in our outlook to have a small growth as a totality between the good news and still the uncertainty on the market, especially on the new build and in West Europe.
Martijn den Drijver: Got it. Then my second question is with regards to semicon. And it's clear that, that destocking hit you guys in Q4 and it's going to continue in Q1 2025. Can you talk about the phasing throughout the year for 2025 and perhaps also give your indications with regards to 2026? It used to be that you expect a double-digit organic growth for 2026. Is that still in the books? Or should we be a little bit more cautious given that destocking events going on today?
Stephane Simonetta: Again, let me first be very clear. The long-term Semicon industry remains strong. So it's just a short-term and timing issue. And I think now the good news is every quarter, we will be reporting. So I think, we will be telling you a bit more, early May when we publish our Q1 results. As of today, we can only tell you, what we wrote that we see a flat organic revenue growth, which still destocking in Q1. And yes, there could be some recovery in the second half of the year. But will it be in the second half or will it be in Q1? That's still to be seen. But long term, the expectation are still there to grow the business driven by all the new technology, driven by AI. So, we are part of it. So we follow, I think, the long-term growth with all our technology differentiation. And then, we will add our capability and our footprint in Asia to have even more growth and also have more diversified portfolio. So short-term, I think we'll report every quarter, but long-term, still a good outlook.
Martijn den Drijver: I understand. Just one small follow-up. The company, Aalberts, has always indicated that there's little visibility in surface technology, so industry and little in building, but rather good visibility in semicon. What's changed now that you don't feel comfortable enough to talk about that phasing in future quarters?
Stephane Simonetta: We still have a good visibility. I think we -- the question is when our customer will start to ask for more and where they will stop in their destocking. So we still have the visibility. I think I mentioned before earlier, we have good collaboration, and we work hand in hand with them. So, I think that's not changed. We still have the good visibility. And that's why we are able to give, I think, a Q1 outlook and a full year outlook. And that's why we are also confirming the long term because we know there is still growth in the future. That's why we still continue to invest in the long term with our footprint, with our technology. So -- it's just a timing issue between what will be in '25, what will be in '26. I think that's still to come, but we still have the same visibility, long-term growth, short-term destocking.
Martijn den Drijver: Okay. Clear. And then my final question is for Arno on the working capital and the inventory reduction. It did not materialize as perhaps some might have hoped for. Are you comfortable enough to talk about what you expect in terms of DIO, not an exact number, but perhaps a range? And can you perhaps shed a little bit more light, add more color on to what exactly you're going to do to get that DIO down?
Arno Monincx: You clearly missed it, Martijn, because I explained it earlier in this Q&A. Our clear objective is to reach the 85 days of DIO in 2026. That is what we work on. And we have been focusing also, of course, last year on inventory reduction. Now clearly, it did not materialize what we expected from it. But also there, it's -- the major improvement needs to come from the building segment. So that is also where the most actions are to improve. And we will continue to do so. And we are also confident with all the plans that we have now that we will realize this. Otherwise, we would not, of course, give this guidance also until 2026.
Martijn den Drijver: Okay. And just one follow-up. Is that a linear process? Or is it more back-end loaded?
Stephane Simonetta: It will be a continuous improvement process.
Arno Monincx: Yes.
Stephane Simonetta: I think you will -- we will report this, I think, every semester. So you will see. But of course, it should not be only back-end loaded. We have to make improvement already this year because last year was not satisfactory. The good news is you see, the overall DIO of 94 days in 2024, but don't underestimate that the mix is quite different. So some of our product line in Building have been able to go down because they have been applying all the tools, all the supply chain excellence, all the operational excellence. Now, we need to roll out that to the low performer of the company. And as a consequence, our building segment should be much better.
Arno Monincx: Yes. And because of the fact that, we also now communicated in the press release, you can count on the accountability also in ours internally on this topic. So we will make this.
Rutger Relker: Okay. Thank you for this moment, Martijn. We have 2 more people in the queue. [Operator Instructions] Alex Virgo from Bank of America.
Alex Virgo: I'm going to try and steer away from asking questions that have already been asked. I wondered, Arno, if you could just run through some of those exceptional items, EUR 120 million is a big number. I appreciate you've talked about the provision. But if you could just give a sense of what is driving those different moving parts? And is there a number we need to think about already for 2025? That's one question. I guess, if you could do that within the context of both EBIT and free cash because there are obviously adjustments in both instances, and they're not all the same. So I'd appreciate a little bit of clarification on that. And then a question for Stephane. I guess, the question really is, as we look at Q4 and down 10-ish in industry and semicon, and the guidance for Q1 of minus 5%. Obviously, flat for the full year does imply a decent amount of acceleration. I think you've been asked a question on visibility, but maybe it's less about visibility and more just about thinking what is it that surprised you about the weakness in Q4? And how do you think about managing that cadence as we go through 2025?
Arno Monincx: Okay. Let me start with the exceptional cost, maybe, EUR 120.5 million. It's indeed a big number. And it's also something, of course, we could not do differently, like the decision to leave Russia. It's a clear decision from our side that this is not the future for Aalberts to continue in this market. So that is what we did there, and that led to an impairment of our assets in the books. And the outcome of the arbitration award was also for us unexpected, and therefore, also we filed for an annulment. I cannot unfortunately say more about this one, because it's still under the arbitration tribunal. Last, but not least, the acceleration program. I think, yes, we were quite clear already in November that we would announce this, and that is what we did. And you can read also in the annual benefit, the recurring annual benefit of EUR 30 million versus an investment of EUR 54.8 million. That's quite a quite good program, and it will sustain our margin improvement going forward. And yes, we will continue to do so also in next year in 2025 to look for further improvement possibilities whenever we can. That has been the nature of our business over the last, yes, let's say, decade, I would say, and will also be the nature of our business going forward. We will always try to look for further improvements. And with a footprint like we have and with all the initiatives that we are doing also going forward to make the business more efficient and more lean I mean, there will always be possibilities. And timing is the natural cascador of this program. So we will continue to do so. I'm not so sure regarding cash, what your question was, because we are reporting, of course, our numbers before exceptionals so that you can still track our operating results in the right way, and that is also what we did this year. And maybe you have another question about it.
Alex Virgo: I guess, it's just to make sure whether we think about modeling 2025, I appreciate the whole point of exceptionals are that they are exceptionals, but presumably, or it's an open question, maybe I'm presuming wrong. Are there things that we need to think about that would end up being in that -- in those lines for 2025 to make sure that, again, we're looking at the right numbers, comparable numbers year-on-year?
Arno Monincx: Let's say, the impairment is, of course, a noncash item of the Russian activity. So that is, I think, clear. The arbitrational award to be seen, I cannot say anything about it, but let's say, to be seen. And let's say, once we think it's time to make aware, if there's another program going forward for 2025, we will, of course, communicate that. But this program clearly brings a benefit of EUR 30 million annually, of which, by the way, EUR 10 million was already taken into the books in 2024. So, the incremental benefit should be around EUR 20 million with regard to this --
Alex Virgo: Okay. And all the costs associated with that, you've now taken.
Arno Monincx: Yes.
Stephane Simonetta: Yes. And then I think on Q1, it's a -- we see a bit of continuation of what we saw in Q4. So continue to have a moderate organic growth in our building segment, and still low activity in our industry segment due to mostly, again, automotive, machine build and still low activity for our frame and module due to the destocking from our customers. So that's the visibility we have right now. That's why we are able to give this outlook for the group.
Rutger Relker: I now would like to give the word to Chase Coughlan from Van Lanschot Kempen.
Chase Coughlan: I just have 2 questions regarding the 2025 guidance. Firstly, on the flat organic revenue guidance. I know, some peers in the U.S. have spoken to already increasing prices slightly in Q1 of this year, at least from the building side. I'm curious on -- could you comment on the sort of pricing volume dynamics that's baked into that 2025 guidance?
Arno Monincx: Yes. I think, we are more optimistic and never will we compromise on price. That's why even in the negative organic growth, we are being to sustain in building very strong added value, that's the Aalberts way. So we continue to push and we see opportunity on the pricing increase. Some already have been announced. So, we are well on track in 2025 also in the U.S.
Chase Coughlan: But then should we also -- by that means we should expect some slight volume declines if we expect organic flat in 2025? Or how should I read that?
Stephane Simonetta: I think, it's again, the geographical, you understand that U.S. will be better, both volume and pricing. Europe, some product line will also be better. But today, we still don't see recovery for many of our product lines in France, in Germany, in all the new build and in our connection systems. So as a sum, we see a flat, but you are right, U.S. should be much better. And then Europe will be still challenged, especially with –
Chase Coughlan: Okay. That's very clear.
Stephane Simonetta: And we are hopeful also, I forgot to mention about East Europe also. That could be also maybe not in Q1, but Q2 could be a bit better to have more growth. That's something we were also expecting last year, didn't materialize. So the point of time, the market need to recover also in East Europe.
Chase Coughlan: Okay. Great. And then maybe secondly, on the margin guidance, so the EBITA margin guidance expansion basically. Should we expect that most of that comes from the building segment given the sort of, let's say, growth expected there versus maybe a still very weak industry environment? Or how should we look at the divisional expectations for the margin in 2025?
Arno Monincx: That's a good assumption.
Stephane Simonetta: Obviously, you clearly see, right, in Industry, we need to sustain our performance, whatever is the organic growth. Semicon, we also need to sustain will be challenging. Q1 will be challenging due to the destocking, but this is not where we have the big opportunity, and this is not part of our strategy, right? So to reach the 16% in '25, most of the improvement are in our Building segment.
Rutger Relker: Martijn, you still had some questions. So I give Martijn den Drijver from ABN AMRO opportunity to ask some additional questions.
Martijn den Drijver: Coming back to semicon. If you look at the growth you've had, the 4.7% organic growth and you look at the improvement in an absolute sense of EBITA, that doesn't reflect the normal targeted drop-down rate of 25%. The first question is, does that 25% rule or guidance still count? And secondly, is that due to the fact that, there's been a capacity expansion at IDE? You already have some OpEx investments for the expansion in the Frame business at Mogema. Is that an explanation why we don't see that normal operating leverage in semicon? That would be my first question.
Arno Monincx: Shall I answer this, Martijn?
Martijn den Drijver: Go ahead.
Arno Monincx: You can now also see in the quarterly results that we made good growth performance over the last quarters, except for the last quarter where the growth of 10.8% in Q3 turned around to 10.4% decline in Q4. That's a big difference, of course. And you can imagine, when you're in the growth modus with this business that the drop-through is also normally able to realize. But with this decline and big difference in the last quarter, of course, that had clearly a negative effect in the EBITA margin. That's the answer I can give to you. We still are behind our objective to reach 25% drop-through on organic growth. So that remains an objective internally and also possible.
Martijn den Drijver: Okay. And then my second question is, again, on industry. Despite that volume decline, margins have held up well. But at a certain point in time, the flexibilization of certain costs has an end to it. So what can you do from this point forward to maintain that profitable level, that high level of EBITA margin? And secondly, you talked at the first half year results about sales mix changes, positive sales mix changes, so higher level value-add services. Is that something that could drive -- could sustain or help you in terms of EBITA margins for industry?
Stephane Simonetta: Good question. I think, first of all, the footprint optimization is not finished. We still have many opportunities to optimize our footprint in our industry segment, right? Some of the operational excellence program and some of the EUR 55 million we have announced, it's all between building and industry and that will also generate results in '25. And we are already working on the next one. Hopefully, there will be even higher growth and the profitability will go higher. So we have still some footprint optimization within our Surface Tech. And as you know, in the CMD, even it's a Service business, but this is still today 60% of our business. And then where we produce components, what we call our industrial product, here, we still have the same operational excellence agenda to drive leaner, better machine utilization, direct labor productivity. So this is also on the, you could say, 30%, 40% of our industry segment, where we can use the same recipe as we are planning to use in our building segment. So that are the action. And that's what we can do whatever is organic growth.
Arno Monincx: And besides cost optimization, of course, the portfolio has clearly improved. And with the M&A we have done over the last, let's say, 5, 6 years, we clearly strengthened our -- let's say, high margin, high specification business also in the industry segment. And that is clearly helping to sustain these margins going forward.
Stephane Simonetta: It's a good point, because it's -- I'm sure you noticed in the portfolio optimization side with our strategy and action, where do we see the divestment part of our thrive 2030 is between our building and industry segment. So this is where we have also some portfolio or some businesses where we don't see us being the best owner for the future.
Martijn den Drijver: Two more small questions. The question from my colleague from Bank of America on cash flow. The EUR 54.8 million restructuring charge, how much of that will lead to a cash out in 2025? Is that EUR 5 million, EUR 10 million? Or is it all already done?
Arno Monincx: If you give me some time to check that one second. Because I think --
Stephane Simonetta: Maybe you want to ask another question in the meantime?
Martijn den Drijver: Yes, please. Yes, please. And my final question, it's actually another small question. The share buyback, EUR 75 million. I can -- would it be fair to say that you would prefer a steady share buyback policy that you would not prefer to go up and down, up and down, but that you would have a steady line? Or should we just think about it if you've done 2 or 3 Paulo's and it goes down? Or do you -- coming back to the first part, or would you like it to be pretty consistent level?
Stephane Simonetta: I think, I can only repeat what we say in the CMD. You remember with our capital allocation strategy, what we will prioritize. And I think we said, and Arno will add that we will do share buyback when we have excess cash available. So I think, we are committed to do it on a yearly basis. The amount will depend on what is cash available, because first, we fuel our strategy. We do our organic growth initiative. Then, we do our acquisition. We will continue to return solid and improve the dividend and do share buyback. The amount will depend every year, but we are committed to do it on the yearly basis. So, a steady program and the amount to be confirmed.
Arno Monincx: And your other question, Martijn, we made a specification of our operational excellence projects in the cost lines. And I can tell you that from the personnel part, approximately EUR 20 million still has to go into the cash and there may be some EUR 5 million or EUR 10 million other costs that are still going through the cash. The rest is noncash items.
Rutger Relker: And I'd like to give the word to Ruben Devos from Kepler Cheuvreux.
Ruben Devos: I just had the first one was a quick one just on electrification. I think you singled that out as a significant opportunity. Obviously, we had not a great 2024 in terms of EV penetration rates globally, specifically not in Europe. But for '25, things start to look better again. Just curious whether you could sort of quantify the opportunity for us or just give an indication what that electrification or automotive in general represents of total group sales today?
Stephane Simonetta: So electrification, first, you have 2 parts, right? You have the part in automotive and the rest. So in automotive, I can only confirm what we just said, right? We see the same headwinds as we saw in 2024, which is a global automotive industry and what our customers or what the OEM or the Tier 1 are asking to us. But on the long term, it remains a growth driver. For '25, I don't see major changes yet, but we still see it a growth driver for the long term in automotive, but in other industries. So electrification in other -- especially in Europe and to deliver the European green deal or to have, I think, a better opportunity for us. So that's still too soon to say, but no major change at the moment for '25.
Ruben Devos: Okay. Can you remind us what automotive represents in industry now with the new segment reporting?
Stephane Simonetta: Yes, roughly 40%, like we shared in the Capital Markets Day, so 40%, and that's –
Ruben Devos: Of industry?
Stephane Simonetta: Of industry, yes, of industry.
Ruben Devos: Okay. And then on semicon, just -- yes, obviously, this is a cyclical industry. We all know that, and I sort of agree that this will be likely transitory in nature. But just interested to hear whether you have some exposure to the aftermarket and service business in semicon as well, which is a bit countercyclical.
Stephane Simonetta: Thank you for the question. That's actually what we mean. Maybe we were not clear in the refurbishment. This is a service business. This is an aftermarket -- so we just opened a new site here in the Netherlands close to our customer in order to be able to refurbish any of their module and to give them a second life. That's what we mean, and that will be part of the aftermarket. And this is still small, but this is a growth initiative for us.
Ruben Devos: Okay. And then maybe somewhat of a conceptual question. Just thinking about the green agenda, right? I think, obviously, there's been a lot of policy changes globally. You see the elections in the U.S. We see how that sort of is translating into new policies in Europe. You've got evolving regulations, et cetera. I mean, just thinking about sort of the latest strategies or thoughts that some of your customers might have around energy efficiency, decarbonization, sustainable building materials. Like what has changed in your view maybe in the past 12 to 24 months? Are you seeing any aversion towards the green agenda? I mean, more than what it might have been 2 years ago? Or how do you think about that?
Stephane Simonetta: It's a good question. Let me say that first, in the U.S., no major change because the green agenda was never a growth driver, right? That was the activity, that was the consumption, that was the inflation, and that has not changed. So with more -- or with less green agenda in the U.S., no impact for us. Of course, we were hoping to have a greener agenda to accelerate even more the growth. But even without the green agenda, U.S. will be a growth agenda. So no major change. And in Europe, we still believe in it for the long-term because more people will continue to live in urban city and still so many old buildings that need to be renovated and still a lot of energy efficiency gain. And we are well positioned to support the energy transition in Europe. So we remain optimistic. I remain optimistic, because as European, we have to do a better job also to deliver the European green deal and Aalberts is super well positioned to deliver that. And let's not forget that on industry, we still see many of our customers asking us for lightweight solution, reducing also fuel consumption, which can help on the environment, but which is also a cost-saving opportunity for them. So no, I would say, no major change, but I really hope the European Union will still be pushing this agenda.
Arno Monincx: And don't forget that all these new systems where we are also providing our products that are also giving more comfort. So it's not only energy saving. It's also more comfort in the Building. So it goes together, and that's called innovation, right? So you have new technology which functional better performance, like with lightweight materials. Let's say, there's always a trend to do things better, lighter, faster. So that goes along with, of course, also, let's say, renewable thinking. So I think that is not a major concern.
Rutger Relker: Thank you, Ruben. I think we have some questions still coming via the webcast. First is a question to Arno, and that's about CapEx for building, which has increased in '24 compared to '23 despite organic decline over the last 2 years. Could you comment a bit on that?
Arno Monincx: Of course, this is -- these are a lot of initiatives that we already started in the years before, which take longer than 1 year. So it's also the timing and the running out of startup programs. But we expect clearly that, CapEx will go down in the period ahead of us in building. But this is just the finalization of projects that have been started already some time ago. And it's all about optimization, footprint extension, optimization, a lot of good things when volumes will return in our factories, that will help to also improve our margin going forward.
Rutger Relker: So for CapEx, '24 was a peak?
Arno Monincx: Right, quite a peak moment, yes.
Stephane Simonetta: I think it's -- you should expect that -- first of all, we are still aligned with our EUR 200 million, EUR 250 million, but that was including a lot of green project factories, which are almost done. So of course, beyond '25, we should go back more to a normalized CapEx without all this greenfield. And now the goal is to use and have all the growth and have a massive asset utilization that will help also to improve EBITDA beyond 2026 and towards the 18% goal that we have in our thrive 2030.
Rutger Relker: Thank you, Stephane and Arno. There's another question coming in, which is a bit technical about the gain on the disposal that we had, whether that has been included or not into the EBIT of this year.
Arno Monincx: It is included. So the capital gain we made this year, approximately EUR 9 million, that's including our holding eliminations. And let me repeat the philosophy about that. In our holding eliminations, we report extraordinary costs and extraordinary income that have nothing to do with the operations of our businesses. So the 3 segments are reported clean and all the exceptionals we take in the holding eliminations. In this year also, we had extraordinary income like the disposal, which was approximately EUR 9 million, but we also had extraordinary costs in our holding elimination, because the total holding eliminations is approximately EUR 1 million, let's say, less negative than 2023, where we had also this situation, and that is actually driven by the fact that the holding costs were a little bit lower than last year. So from extraordinary income and costs, we are about on the same level as in 2023. The exceptional program, right, the exceptional costs, the restructuring costs are not in the holding elimination line. These are reported outside the operating results.
Rutger Relker: Thank you for clarification, Arno. There's a question about divestments, whether you would expect the divestments to happen in '25 or only as per '26?
Stephane Simonetta: We will always do divestments. First, we have a clear strategy, a clear funnel, and it's all about timing, but it's not also about timing, it's having the right deal and the right offer. The good news is we are not under pressure to do the divestment. We will do it when we have the right deal, the right valuation, but also when we believe it is the right ownership for the business we want to divest. So it could be in '25, it could be in '26. Let's see. The only thing we can tell you, it is between building and industry. But some could be in '25.
Rutger Relker: Thank you. And then I see, I think at this moment, the last question from the webcast, and that's about innovation where innovation rate declined a little bit from 20% to 19% despite being a priority for Aalberts. Could you comment a bit on that perhaps?
Stephane Simonetta: A small decline, if you round up. So you could say, first, it's good because we sustain 19%, 20%. But for me, it's looking back, right? As you know, in the last 4 years revenue, which is coming from innovative. And you can imagine that in our portfolio, there is a huge diversity. Some of our product lines are doing very well, much higher than 20%. And I can tell you this is where we have also the better growth and the better margins. And some of our product line from innovation rate are very low. What a surprise that, this is also where we have the lowest margin. So that is why innovation is so fundamental for us. The good news is we have some successful story. So up to us to bring the one which are higher, sustain the one which are higher and continue as per our thrive 2000 strategy to be always more than 20% to keep our differentiation, right? And it could be some great products like I've shown in our organic growth, could be some solution, could be some system or it could be some digital offering.
Rutger Relker: Thank you very much. I still see one last question coming in. Yes. That's still on the CapEx. Whether you also expect still to have your CapEx range, EUR 200 million, EUR 250 million until '26 and only after '26 see an increase?
Arno Monincx: Yes, I think that is correct. So for 2025 and 2026, we see this range of EUR 200 million to EUR 250 million. And beyond 2026, we gave in the Capital Markets Day, let's say, the outlook until 2030 with yes, higher CapEx number, but don't forget the business is also growing. So our ambition is to go to EUR 4.5 billion in 2030. So the CapEx, let's say, percentage spend on revenue is even going down with this number.
Stephane Simonetta: The new range of CapEx, to be very clear, will only materialize if we are successful with all our acquisition. If you keep the current business as of today, the CapEx intensity will go down, thanks to our efficiencies, thanks to our improvement, thanks to all our measures. So we will spend more, hopefully, because that will mean we have done great acquisition that will strengthen our portfolio, with a higher growth and higher margins.
Rutger Relker: Thank you. Well, I think we've answered all questions coming in. So as we conclude today's webcast, I would like to thank each of you for your participation. We hope today's presentation has provided you with a clear understanding of our achievements, our financial health and confirmed our strategic direction going forward. Thank you once again for joining us today.